Operator: Good day, ladies and gentlemen, and welcome to the Tile Shop Holdings Third Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to your host, Adam Hauser. Please go ahead.
Adam Hauser: Thank you, operator. Good morning to everyone on the call, and welcome to the Tile Shop's third quarter earnings call. Following our prepared remarks, the call will be open for analysts' questions. Questions will be limited to analysts and we would appreciate if participates would limit themselves to one question with one follow-up. As a reminder, certain statements made during the call today may constitute forward-looking statements made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Words such as, but not limited to, plan, expect, anticipate, believe, estimate, target and any other similar words may be used to identify forward-looking statements. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the earnings press release issued today and in the Tile Shop's filings with the Securities and Exchange Commission. The forward-looking statements made today are as of the date of this call, and the company does not undertake any obligation to update these forward-looking statements. Today's presentations may also include certain non-GAAP measurements. Please see the company's earnings release for reconciliation of those non-GAAP financial measures, also available on the Investor Relations section of our website at www.investors.tileshop.com. With that, let me now turn the call over to our Chief Executive Officer, Mr. Chris Homeister.
Chris Homeister: Thanks, Adam. Good morning, everyone, and thanks for joining us today. I'm here with Kirk Geadelmann, our CFO, and we appreciate you joining us this morning as we report our results from the third quarter of 2016. The dedication and performance of our store leaders, sales associates and operational teams were once again outstanding during the third quarter, leading to another quarter with fantastic results for our business. We've continued to stay focused on building upon our key initiatives and the strong momentum established since the beginning of 2015. These efforts continued to yield great results across a variety of important metrics. Let me begin with sharing some highlights from our third quarter. Sales for the quarter were $78.6 million, representing a growth of 8.5% versus last year, including comparable store sales growth of 5.7%. The revenue strength was once again broad based across all vintages, and solid growth occurred throughout the quarter. Our online channel continued to deliver strong double-digit growth during the quarter. We delivered this top line strength while also delivering a 70.2% gross margin rate for the quarter. Our adjusted earnings per share in the quarter was $0.10, representing growth of 25% versus last year. Our year-to-date free cash flow increased to $31 million at the conclusion of the quarter, which allowed us to pay down an additional $5.8 million of long-term debt in Q3. Finally, due to the accomplishments from our first 3 quarters and the continued strength of our business, we are pleased to announce an update to our full year outlook, highlighted by an increase to earnings per share and adjusted EBITDA. Regarding our retail talent development efforts, we saw continued strength in employee turnover and average manager tenure during the quarter. Turnover across our sales associates, assistant managers, warehouse employees and store managers continues to decline significantly from prior year levels. Stores are being led by managers having the highest amount of average tenure in several years. The combination of more established store leaders and stable staffs continues to be a significant contributor to the financial and operational improvements we have experienced over the last two years. As we enter the fourth quarter, we continue to believe we have more room for improvement. As we have previously discussed, as part of our efforts to create an improved career path for our retail associates, we launched a senior assistant store manager position in 2016. During the third quarter, we promoted more than ten candidates to this role. As we continue to increase organic growth in the fourth quarter of 2016 and into 2017 is an important -- it is important that we establish a deeper batch of store leaders and the development of the senior assistant managers is one of our primary strategies for achieving this goal. Our efforts to continue driving strong growth with our Pro customers, including direct marketing, store-hosted events and Pro-specific product assortment improvements again yielded strong results in the third quarter. Sales growth with Pro customers again strongly outpaced overall growth, leading to another meaningful increase in Pro mix during the third quarter. Consistent with overall results, the strength with professionals was broad based, even in mature markets that already have a very significant mix of Pro business. As we announced on our call in July, our digital Design Studio tool was launched as an exciting addition to the shopping experience in Tile Shop during the third quarter. As expected, we have seen this capability being used in a collaborative fashion across our sales associates, home owners and trade professionals, and we are very pleased with the engagement and usage of this powerful new tool. From a product perspective, flow within marble, subway tile, mosaics and natural stone with white and gray tones continue to be very popular with our customers. An exciting introduction to our product assortment for the fourth quarter is our premium designer tile collection from Ted Baker, a world-renowned fashion brand. We are extremely pleased to be the first U.S. retailer to operate an iconic collection of tile and glass products from Ted Baker that are sure to inspire interior designers and homeowners alike. Regarding store growth, we have opened 3 stores since our Q2 earnings release. We opened new locations in Brentwood, Missouri and Algonquin, Illinois, and our recent opening in Maple Grove, Minnesota was a relocation. We also expect to open our new showroom in Hoffman Estates, Illinois this week, a relocation of our Schaumburg, Illinois location. We expect to open four stores during the fourth quarter, bringing our total new store count for 2016 to ten as well as the two relocations I just mentioned. We also took possession of a distribution center in New Jersey during the third quarter. We are adding this lease facility to create efficiencies and distributing products to approximately 20 current stores in the Northeast where we still have significant densification opportunities ahead of us as well as to facilitate local pickups and deliveries. Operating costs are expected to approximately offset transportation savings at 2017 volumes, where we expect a solid net benefit from this initiative over the long term. The New Jersey distribution center will not manufacture setting or maintenance materials and is scheduled to be fully operational in January 2017. We are very pleased with our results through the first three quarters of 2016. We continue to make significant progress with all of our focus areas. We look forward to the remainder of 2016 and continuing on the journey to be the nation's leading specialty tile retailer. And with that, let me now turn the call to Kirk for further discussion on the quarter and our updated outlook for 2016.
Kirk Geadelmann: Thanks, Chris. Today, we reported net sales of $78.6 million for the third quarter of 2016, which represents an increase of $6.2 million or 8.5% over sales of $72.4 million in the same quarter of last year. Comparable store sales growth was 5.7% in the quarter, which represented a seventh straight quarter of mid-single-digit or greater comparable store sales growth. The comparable store sales growth of 5.7% in Q3 was achieved on top of 9.7% comparable store sales growth in the third quarter of 2015. All vintage classes and our online channel approximately met or exceeded our comp growth expectations, and transaction growth and average ticket both positively influenced our comparable store sales growth during Q3. Year-to-date, comparable store sales growth through the third quarter is 9%. Gross profit increased $4.4 million in the third quarter or 8.8% over last year. Gross margin of 70.2% represented an increase of 20 basis points from Q3 of last year. The modest increase to gross margin performance compared to the prior year was driven primarily by inventory control improvements. Our selling, general and administrative costs for the quarter were $47.4 million as compared to $44 million in the third quarter of last year. Third quarter 2016 SG&A included approximately $700,000 of special charges related to litigation expenses. Excluding stock compensation, which was $650,000 lower than the prior year, compensation, benefits and shipping and transportation expenses represented approximately $1.6 million of SG&A growth in the quarter, driven primarily by growth in sales and employee headcount as well as continued investments to reduce turnover and drive retail talent development. We concluded the third quarter with 120 stores, an 8% increase versus the conclusion of last year's third quarter when our store count was 111. Depreciation and amortization, rent, property taxes, utilities, supplies and other costs, primarily related to store growth, represented approximately $1.4 million of SG&A growth versus the prior year during the quarter. Preopening expenses were approximately $230,000 in the quarter. Operating income was $7.8 million in the third quarter, representing growth of 17% versus the prior year period. Operating margin was 9.9%, an increase of 70 basis points versus the prior year, driven by enhanced operating leverage from a gross margin increase of 20 basis points and sales growth of 8.5%, while SG&A cost grew 7.5%. Adjusted EBITDA was $15.3 million in the third quarter, representing growth of 9% versus the prior year period. Through the third quarter, year-to-date adjusted EBITDA was $53.5 million, representing growth of 21.2%. Year-to-date adjusted EBITDA margin was 21.6%, an increase of 160 basis points. The non-GAAP net income presentation in the earnings release adjusts our GAAP quarterly results by eliminating special charges and then applies the tax rate to the result. The presentation result is a non-GAAP net income for the quarter of approximately $5 million, growth of 30% versus the prior year period. The current year non-GAAP net income translates into a basic and fully diluted Q3 earnings per share of $0.10, growth of 25% versus Q3 of last year. Through the third quarter, year-to-date non-GAAP net income translates into a basic and fully diluted earnings per share of $0.37, representing growth of 48%. Turning to our balance sheet as of September 30. We ended the quarter with $9.5 million of cash and $24.1 million of long-term debt. We paid down $5.8 million of debt during the quarter, and our year-to-date free cash flow is now nearly $31 million. Since the end of Q3 last year, we have reduced our long-term debt by more than 60% from strong operating results, resulting in significant free cash flow generation. Our quarter end inventory was $66.4 million, which represented a 5% increase from last year during a quarter with 8.5% sales growth and nine more stores in the prior year period. We expect inventory levels to increase again during the fourth quarter as we expect to open four new stores, establish inventory at the New Jersey distribution center and continue building appropriate inventory levels in preparation for our peak selling season next spring. Capital expenditures were approximately $8 million in the quarter, primarily related to new store openings, store IT investments, store remodel and merchandising activity and DC and manufacturing projects. As detailed in our earnings release this morning, we are providing updated expectations for the full year based on where we are through the conclusion of the third quarter and our current outlook for the remainder of the year. I'll highlight the key items that were updated this morning from our last guidance provided in July. From a top line perspective, our full year sales expectation has shifted from $322 million to $329 million to $324 million to $327 million. The reduction at the top end of the range is related to the pacing and number of new store openings in 2016. The cadence of new stores this year has been more heavily weighted towards the end of the year than expected, and a couple of openings originally thought possible for 2016 will likely not occur until Q1 of 2017. Our outlook for the full year of comparable store sales growth is unchanged at mid- to high single digits, and the implied comp outlook for Q4 is approximately 3% to 7%. From a bottom line perspective, we now expect non-GAAP earnings per share of $0.45 to $0.47 versus previous guidance of $0.41 to $0.45, and we now expect adjusted EBITDA of $68 million to $70 million versus previous guidance of $66 million to $68 million. Our expectation for new store openings was updated from 10 to 12 openings to approximately ten openings. With that, operator, we can now turn the call over for questions.
Operator: [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities.
Daniel Moore: I really have realized it's a small sample size, but how have the most recent new stores been received? Still comfortable with the ability to achieve a 20% reduction new store CapEx? And is the payback period for those or the path to breakeven compressed at all or similar to what you've done in the past?
Kirk Geadelmann: Dan, this is Kirk. Thanks for the question. Yes, we continue to track well on what we talked about last quarter with the 20% reduction. We'll provide a -- maybe a more detailed update at year-end, but that trend is continuing. And yes, we're -- to your point, we're excited about the opportunity because we believe we should be able to generate the same sort of revenue productivity that we've had historically. And so the payback period -- really, what we're doing is we're cutting about 0.5 year out of that payback period if we can generate that same level of revenue and we get the payback under three years. So very excited about that opportunity.
Daniel Moore: Very helpful. And one quick follow-up. The new store openings, obviously, a little back-end loaded and maybe little delays with four expected in Q4. What are the biggest factors causing the delays? And do you expect a similar pattern in 2017 or you expect to be a little more even weighted across the year?
Chris Homeister: Dan, this is Chris. Certainly, in dealing with real estates and dealing with landlords across the country, we might have pushed some into the fourth quarter and that's unfortunate. But with that said, we were -- we feel that our process in which we're evaluating real estate site selection across the country continues to be more robust, more regimented than it has in the past. I look at our ability to find sites to our liking across the country continues to be very robust and I would look for our expectation. Certainly, our expectation in 2017 would be to have as much more equal space throughout the course of the year, and I think that's something that you should plan on because we certainly are.
Daniel Moore: And if one or two of those stores from Q4 spill into early '17, does that mean one or two more stores will be open versus prior plan or not necessarily next year?
Chris Homeister: Well, I think for our standpoint, we look at the 8% to 12% unit growth as a good proxy for our expectations for what we're going to be doing in 2017. I think we're always going to have a bit of flux between one or two stores in any given year or any given quarter flow into the next period. So I wouldn't necessarily look at a change to what we're thinking about from an 8% to 12% unit growth perspective, but I think there's always a possibility that one or two may split from a quarter-to-quarter or year-to-year.
Daniel Moore: Very good. Thank you and congrats on the strong results once again.
Operator: Our next question comes from Peter Keith with Piper Jaffray. Your line is open.
Peter Keith : Hi. Thanks. Good quarter guys. There's been some investor concern out there around big ticket spending and even maybe some speculation that housing remodeling is slowing. Chris, you had commented that there was broad strength in all months. I guess, curious if you’ve observed any -- maybe any choppiness or periods of sluggishness in the quarter.
Chris Homeister: Peter, no, we didn't. We saw very consistent growth throughout the course of the quarter. I would look at all markets consistently strong as well as all vintages as well. We certainly look at some -- much of the same data that you do and we’re obviously monitoring it very closely. But at this particular time, we feel very good about our business of how it performs certainly in Q3 and certainly the outlook for the rest of the year.
Peter Keith: Okay, good. And then there was a large box competitor of yours in the home improvement space that was running a national TV ad campaign around some of the tile innovations that are available now. Curious if you guys have seen any uptick in store traffic or web traffic, if more people are aware of these products now.
Chris Homeister: No, Peter. I mean, we've certainly seen the ads that you mentioned here. I think it's certainly not just that one but there's been others that have been active in the advertising front across the country in the 31 states in which we operate. But I wouldn't necessarily look at it as being directly correlated to our traffic trends happening online or in-store. I think they've, again, as we mentioned, traffic trends have been relatively consistent across the quarter and across geographies. And I look at advertising within the space as something that will help bring further awareness to the category. So we look at the advertising as something that we're monitoring. Obviously, price points are being put out in the marketplace, and we're obviously very pleased to achieve our significant revenue growth and comp growth, while still also being able to slightly increase our gross margin on a year-over-year basis as well.
Peter Keith: Okay. Great. And actually, I'd like to slip in one more question, just regarding use of capital. You're paying down debt nicely. It sounds like you may be working on some plans on what to do with excess cash. Would we expect with maybe the Q4 earnings call that you might have some type of formal announcement?
Chris Homeister: Well, I think, Peter, it's certainly one of the things that we continue to discuss as a leadership team and with our board. We're certainly finalizing our thoughts about what we want, what to announce. I'm not necessarily going to say it will be on a Q4 timeframe, but certainly within the next few quarters, we'll have something more concrete to discuss on that topic pertaining to uses of cash in the future.
Peter Keith: Okay. Good enough. Thanks a lot and good luck for the rest of the year.
Operator: Our next question comes from John Baugh with Stifel. Your line is open.
John Baugh: Thank you for taking my questions and congrats as well on another good quarter. I was wondering, you mentioned gross margins were benefited by inventory control performance. Could you maybe tell us what you saw or what you're seeing and whether or not that benefit or tailwind you'd expect to continue? And then other factors within gross margin that you didn't perhaps highlight, I'd suppose, a good quarter there.
Kirk Geadelmann: Good morning, John. This is Kirk. As we talked about a little bit in past quarters, we've really tried to focus and we think we continue to have an opportunity to improve our inventory control costs, and the primary drivers there are shrink and damage costs. We're trying to develop some standard operating process in the field. We're working very hard on training initiatives. We're score carding certain metrics, and we think we still have improvement to develop a culture around shrink and damage costs. And we've also made some investments in warehouse personnel in the stores and also personnel in the DCs. And so I think we've made some good progress to date, but we still have a ways to go. We certainly think we can continue to do better and improve. In terms of other gross margin drivers, I think the other one that I'd call out is, and we've talked about this a little bit in prior quarters as well, we continue to have a pretty good focus on collection of freight revenue, and we had a pretty strong quarter in Q3 in terms of being able to collect freight revenue from our customers.
John Baugh: Right. And then you mentioned on comp sales, I think that all vintages of stores were good and matched or exceeded, I think that was the comment, your comp expectations. Any additional color on, say, the mature group of stores and how they comp in the quarter?
Kirk Geadelmann: Yeah. John, this is Kirk again. Mature stores continue to do well. We had a very strong low single-digit comp from our mature stores. And again, pretty much all vintages of stores last year in Q3 as well as Q4 performed very strongly. So our ability to generate a very solid comp across all of our vintages on top of last year's performance has us pretty excited about the result.
John Baugh: Great. And then my last question is the commentary around the Pro. It sounds like it's still quite strong. Is it even stronger than you thought? And I guess, the question is, is there perhaps maybe a little bit of consumer weakness that we're hearing about, seeing in general that you're offsetting because you're really driving your Pro mix higher or is that the poor assumption? Thank you.
Chris Homeister: Hi, John. This is Chris. I view that for us, the Pro is directly tied to the consumer. So we're not working with the Pro that's doing large spec housing projects. We're working with the Pro that's directly tied to the consumer that is actually working on a media project for that the consumer is driving. So I look at the Pro and the consumer highly tied, highly correlated to one another in our business, given the fact that the consumer is driving the decision points and also making a decision of whether electing to spend their household income on home improvement. So I feel that they certainly were very pleased with how the Pros -- the Pro business for the Tile Shop continues to be very robust, but I wouldn't correlate any consumer weakness with the strength that we're having with our Pro business.
John Baugh: Great. And that Pro mix was roughly where, you mentioned, I think, a new line.
Kirk Geadelmann: Well, our year-over-year mix increased in Q3, and I think we have an investor presentation out on the website, John, as you know, that says that we're now north of 34% mix for our total business.
John Baugh: Great. Thank you. Good luck.
Operator: Our next question comes from Peter Benedict with Baird. Your line is open.
Peter Benedict: Thanks. Hey, guys. Kirk, first, just a question on the CapEx, $30 million this year. What are your early thoughts on next year, I mean, with the store growth outlook and it looks like you've got the DC now being leased? What -- any -- can you give us some guideposts as to how to think about maybe CapEx for next year?
Kirk Geadelmann: Yes. Sure, Peter. Good morning. Thanks for the question. I would say we'll be in that neighborhood. With our ability to spend a little bit less per store, that gives us a little bit more flexibility. Obviously, as Chris talked about earlier in the call, we're committed to that 8% to 12% unit growth. If we could, we'd like to be at maybe in the higher end of that range. But again, we have some flexibility with a little bit lower average CapEx per store. But I'd say it's in the same neighborhood. I mean, obviously, when we close out the year here, we'll provide more detailed guidance for next year.
Peter Benedict: Okay. But there's nothing -- no discrete kind of supply chain or maybe IT investment that's looming for next year?
Kirk Geadelmann: No, nothing material at this time. I would say it's sort of steady as you go. We'll be continuing to invest in similar investments that we have in the last couple of years.
Peter Benedict: Okay, perfect. And then just a small item. The stock-based compensation in the third quarter was down a bunch from last year. I mean, is that -- how do we look at that line going forward? Is that kind of $900,000 to $1 million? Is that kind of a run rate we should expect for that item?
Kirk Geadelmann: The run rate is decreasing currently. That is the trend. About half of that favorability year-over-year, Peter, was just vesting of IPO shares. And because some of that was ISO, incentive stock option shares, there's also some tax rate favorability that comes with that as that type of expense is lower than the overall stock comp expense mix. And then our -- we had some forfeitures that were also a little bit higher than anticipated. So I don't think the run rate is quite what it was for the quarter. It's probably going to be a little bit higher, but the overall stock compensation expense based on our current trend should continue at some level, yes.
Peter Benedict: Okay. All right. That’s great. Thanks very much.
Operator: Our next question comes from Joseph Feldman with Telsey Advisory Group. Your line is open.
Joseph Feldman: Great. Thanks. I actually wanted to follow up again on the CapEx question that Peter just asked. I know with few less stores this year, CapEx guidance is still basically the same. I was wondering why that would be. I would've thought that maybe it would come down a little bit or maybe that around $30 million is just the range. If you could explain that.
Kirk Geadelmann: Sure. Good morning, Joe. This is Kirk again. Sure, so we had -- we're going to be doing about 10 stores, 10 store openings. But on top of that, as you know, we're going to do a couple of relocations as well. So if you think about the store openings plus the relocations. And then we'll have a couple that we're spending CapEx on in Q4, we just won't get them open. So you're probably, I'm ballparking it here, but we're probably talking about $16 million to $17 million of CapEx for stores. And then after that, we have some investments in IT, which is mostly just store IT projects, remodels and merchandising projects, are the other categories of investment this year.
Joseph Feldman: Got it. Thanks. And then wanted to ask several questions about inventory. Kirk, I think it was in your remarks, you made a comment that inventory will be up again in the fourth quarter and explaining why. I understand the why. I guess, you're careful not to say up by how much and I was kind of curious if you could share a little more color on that. Would it be similar to the third quarter? Or are we talking a decent-sized step-up that we should be ready for?
Kirk Geadelmann: Yes. Thanks, Joe. Again, Kirk here again. So last year, we finished the year at about $70 million of inventory. We anticipate being maybe just a little bit north of that, but we're still targeting to have an inventory turn improvement of -- compared to last year. So we still think we're going to make some good progress with inventory management. But a lot of the inventory build, as we talked about in the past over the last couple of years, is seasonal. As you know, our business is a little bit stronger in the spring, and so there's some natural build in the fall to get ready for the spring selling season.
Joseph Feldman: Got it. That's great. Thanks. And then if I could just sneak one more in. Wanted to ask, any kind of update you can provide on just e-commerce business in total, the trend that you're seeing there, pickup or people adopting it a little bit more frequently or any color you can share would be great.
Chris Homeister: Yeah, certainly. Hi, Joe. This is Chris. I had a brief comment in my opening remarks pertaining to e-commerce. It continues to be very pleased with the revenue performance it's driving. It had certainly a strong double-digit comp that we're very happy with. And then also, with that said, it also continues to be the leading brand store for the Tile Shop. It's -- obviously, as we're beginning to be more and more national, it's our lead introduction for the brand for many consumers and Pros across the country. It continues to be a significant driver of traffic to the stores based on the store locator. And again, the investments that we've made in the web and e-commerce in particular with the shop on web, pick up in store as well as our mobile applications have been significant to the company, and certainly, a meaningful driver, in my opinion, of our continuing success that we're having across the company.
Joseph Feldman: That’s great. Thanks and good luck with this fourth quarter, guys. Thank you.
Operator: And I'm showing no further questions. I'll now turn the call back to Adam Hauser for closing remarks.
Adam Hauser: Thanks to everyone for joining us today. Have a great day.